Operator: Welcome to Workday's First Quarter Earnings Call. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of the conference. With that, I will hand it over to Mike Haase. Please proceed.
Mike Haase: Welcome to Workday's first quarter fiscal 2015 earnings conference call. On the call we have Aneel Bhusri, our CEO; and Mark Peek, our CFO. Following their prepared remarks, we will take questions. Our press release was issued after close of market and is posted on our website where this call is being simultaneously webcast. Statements made on this call include forward-looking statements such as those with the words will, believe, expect, anticipate and similar phrases that denote future expectation or intent regarding our financial results, applications, customer demand, operations and other matters. These statements are subject to risks, uncertainties and assumptions. Please refer to the press release and the risk factors in documents filed with the Securities and Exchange Commission, including our most recent annual report on Form 10-K for information on risks and uncertainties that may cause actual results to differ materially from those set forth in such statements. In addition, during today's call, we will discuss non-GAAP financial measures. These non-GAAP financial measures which are used as measures of Workday's performance should be considered in addition to, not as a substitute for, or isolation from GAAP results. Our non-GAAP operating loss and net loss per share exclude the effect on the GAAP results of stock-based compensation and employer payroll taxes on employee stock transactions and for fiscal 2014 also exclude amortization expense for acquisition related intangible assets and non cash interest expense associated with our convertible note. You can find additional disclosures regarding these non-GAAP measures, including reconciliations with comparable GAAP results, in our earnings press release and on the Investor Relations page of our website. Also, the customers’ page of our website includes a list of selected customers and is updated at the beginning of each month. The webcast replay of this call will be available for the next 45 days on our company website under the Investor Relations link. Our second quarter quiet period begins at the close of business July 17, 2014. Unless otherwise stated, all financial comparisons in this call will be to our results for the comparable period of our fiscal 2014. With that, let me hand it over to Aneel.
Aneel Bhusri: Thanks Mike. And thanks everyone for joining us. And I am pleased to say that fiscal year 2015 is off to a great start. In the first quarter together with our customers, we’ve set some new and exciting milestones. HP went live on Human Capital Management for 300,000 employees in more than 100 countries. Phillips also went live with more than 100,000 employees in over 70 countries. HP is now our largest customer in production globally, and Phillips is our largest live customer based in Europe. Congratulations to each of these companies for their ongoing success. We are also experiencing positive momentum with Workday Financial Management. We had another quarter of double digit customer growth, welcoming big name companies like Cushman and Wakefield, the world's largest privately held commercial real estate services firm and Nationstar Mortgage, a leading residential mortgage services company. Both Netflix and LifeTime Fitness are now up and running on Workday Financial Management. We've also seen significant customer demand for our newest application Workday Recruiting. Workday Recruiting was delivered on time in April as an add-on application that replaces traditional applicant tracking systems. A couple of years ago, I asked our HCM product strategy team to completely transform the recruiting space. We asked them to start with the clean sheet of paper and they combine all their years of industry experience with fresh and innovative thinking and today's most modern technologies including social and mobile. Today, with the help of our six customers design partners, we did an amazing job. Already more than 70 companies have signed up for Workday Recruiting. Our Workday Recruiting was a significant portion of our latest update. In total, Workday 22 included almost 350 new features that continue to broaden capabilities offered to our HR and finance customers around the world. Workday 22 is the first update since our shift to single code line development. In just under six hours, we brought every live Workday customer that is many million of users off of the old version and on to the new version. We believe that the speed and ease in which our customers can update sets the bar in enterprise offer. Working in close partnership with our customers, we continue to broaden the scope of Workday big data analytics. The number one request we receive is to host the application in Workday datacenters. We are preparing to make this option available in Workday 23, and as a result expect to see accelerated adoption of this offering. And finally in Q1, we hosted our first ever Workday Rising Europe with our new president of EMEA, Chano Fernandez. This event brought together almost 600 customers, prospective customers, partners, and employees in London to collaborate and learn and to celebrate customer success. With increasing demand for Workday globally, I'm pleased to share with you today that we have appointed a new head of Workday Asia Pacific, Japan, Ian Miller. Ian joins us with more than 30 years of sales leadership experience from companies including IBM and HP. With that, I'll turn it back to Mark.
Mark Peek : Thanks, Aneel, and good afternoon everyone. We started fiscal 2015 with a very strong first quarter generating record quarterly revenues, billings, and trailing 12-month operating cash flows. Operationally, we executed very well. We added over 60 new customers, and at quarter end had over 675 customers. Absent an existential event like being acquired or bankruptcy, each of the customers up for renewal in Q1 renewed. We continue to focus on customer satisfaction and believe once we sign and deploy a customer we keep that customer. Our strength in total bookings dollars continues to be concentrated in North America and in HR, however, the attach rates of payroll, financials, and now recruiting continue to be strong. We had a record number of financials customer deals during the quarter bringing our total number of financials customers to over 80. When you look at Workday from an ability to continue to invest, our balance sheet remains strong. We have nearly $1.9 billion of cash and marketable securities, over $460 million of unearned revenue, and we are at operating cash flow breakeven. Once again, a solid quarter, and we are pleased with our accomplishments and want to thank our employees, our partners, and our customers. I'll now walk you through the financial details of the first quarter. Derived billings for the quarter were exceptionally strong and exceeded our expectations. This was largely due to timing and not a fundamental shift in demand. As we dissected the billings performance, approximately $15 million to $20 million of Q1 billings were from deals we had anticipated would close in the second quarter or later. Some of this was due to contracts that closed well ahead of our forecast for what appeared to be customer specific reasons. We are also learning a lot more about the closing process in the education and government space, specifically the timing of the approval processes in the public sector. Given the shift in forecast deals closing in Q1 rather than Q2, we expect total derived billings in the second quarter to decrease sequentially from $208 million to approximately $180 million. For the year, we anticipate derived billings to be approximately $890 million to $910 million. Subscription revenue for our cloud application was $123.4 million, up 80% from last year. The over achievement in Q1 billings provided modest upside subscription revenue. The weighted average duration of new contracts signed in our first quarter was approximately 3.6 years. The slight lengthening in average term is primarily due to longer contract terms in the E&G sector particularly in higher education. Professional services revenue was $36.3 million, an increase of 56% compared to last year. Job one in professional services is successful deployment of our cloud application whether by our eco system partners or us. Professional services revenue can be a bit lumpy, particularly in the E&G segment, the revenue from large deployments can fluctuate quarter-to-quarter depending on customer specific contract term. So total revenues for the first quarter were $159.7 million, an increase of 74% from a year ago. As the vast majority of our sales are currently in U.S. dollars, the impact of exchange rates is minimal. Total unearned revenue at quarter end was $462 million, up 12% sequentially and 54% from a year ago. As I mentioned earlier, we closed several large deals during the first quarter that were forecast to close later in the year driving higher than expected unearned revenue balances and derived billings. Over 90% of our unearned revenue is from subscription fees. Short-term unearned revenue was $388 million, an increase of 17% sequentially and 73% from last year. Long-term unearned revenue was $74 million, down 9% sequentially and down 4% from last year. During the first quarter, we continued to average just over a year of the total contract value being built upfront at signing. Looking ahead for the second quarter of fiscal 2015, the strength of our business model and continued momentum provides very good revenue visibility and we expect a solid quarter. Total revenues for the second quarter are expected to be within a range of $173 million to $178 million, a growth of 61% to 65% as compared to the prior year. Subscription revenue is anticipated to be within a range of $137 million to $140 million, reflecting year-over-year growth of 69% to 73%. For the year, we anticipate total revenue of approximately $730 million to $750 million or growth of approximately 56% to 60%. Subscription revenue is anticipated to be within a range of $575 million and $590 million, reflecting year-over-year growth of 62% to 67%. Let's spend a few minutes on operating expenses and our result of operation. Unless otherwise noted, all references to our expenses and operating results on non-GAAP basis which are reconciled in the tables posted on our Investor Relations website. We had approximately 2900 employees at the end of first quarter and continue to anticipate adding more people in fiscal 2015 than we did in fiscal 2014. Remember that approximately two thirds of our total expenses are employee related. Our first quarter gross margin was 66.2%, down slightly from the first quarter. For the year, we are currently expecting a modest improvement from last year possibly in the 64% to 65% range. Subscription gross margin was 83.5% and includes the costs related to providing our cloud application, compensation and related expenses for operation staff and data center and networking and depreciation. The subscription gross margin improved by approximately 60 basis points sequentially due largely to the ongoing economics or our subscription model and where we are in the timing of capital spend in our datacenter. We expect subscription revenue will increase as a percentage of total revenue over time but their gross margins will likely fluctuate from quarter-to-quarter. As we had expected entering the year our professional services gross margin was down slightly from the fourth quarter. We expect the professional services gross margin in the second quarter to be down slightly from Q1. Our first quarter operating loss was $22.5 million or negative 14.1%. This was better than we anticipated and largely result of the operating leverage received on increased revenue particularly in professional services. Although long-term profitability and cash flow generation are important goals we believe our focus today needs to be on market expansion, continued product innovation and growth. Product development expense in the first quarter was $53.6 million, up 18% sequentially and up 57% from a year ago. The impact of adding the identified team was between 200 and 300 basis points to the product development growth rate. We continue to invest in our product development for new solutions as well as strengthening and extending our suite of HR, Payroll and in particular financial management application. Sales and marketing expense was $61.1 million, up 10% sequentially and up 64% from last year. Our customer programs were very active during the quarter including our first Workday Rising users conference in Europe. General and administrative expense was $13.5 million down slightly from Q4 and up 47% year-over-year. As mentioned last quarter, our Q4 expenses included various seasonal corporate expenses and donations for the Workday Foundation that are not in our Q1 expense. The net loss per share was $0.13 on $183 million weighted average share. The share count includes 6.9 million weighted average shares from our January follow on offering. Given our net loss, our outstanding stock options, warrants and common stock equivalents are anti- dilutive and not included in the loss per share calculation. Taking into account our adjustment the GAAP operating income that Mike referenced at the start of the call, we currently expect our fiscal second quarter non-GAAP operating margin to be within a range of negative 12% to 15% of total revenue and for the year to be in the negative low-teens. The GAAP operating margins for the fiscal second quarter and the full year 2015 are expected to be approximately 18 to 20 percentage points lower than the non- GAAP margin. Other expenses were $1.1 million flat compared to the fourth quarter. For your modeling, our quarterly non-GAAP interest expense from our convertible notes approximately $1.6 million. From a GAAP perspective, the Q2 interest expense including approximately $6 million of non cash amortization reflecting the discount and issuance cost is approximately $7.6 million. The interest payments on the notes are made during our fiscal second and first quarters. Now on to our balance sheet and statements of cash flows. Cash and marketable securities at quarter end were nearly $1.9 billion about flat sequentially. Operating cash flow were $22 million for the first quarter and $51 million for the trailing 12 months. Free cash flows for the first quarter were $12 million and for the trailing 12 months a negative $33 million. It was relatively light CapEx quarter but we continue to expect we will spend $100 million during fiscal 2015. As mentioned last quarter, we acquired a leasehold interest in land in Pleasanton adjacent to our existing office space. We are actively evaluating our alternative for this site, the potential development cost are not yet factored into our CapEx guidance. In addition, we're recently changed our PTO policy in the U.S. moving to a more employee friendly, flexible time off policy for U.S. exempt employee which doesn't require the ongoing accrual of PTO. We will pay the current accrued but unused balances during Q2 which will result in a one time use and operating cash flows of approximately $80 million. To summarize, we are very pleased with our solid first quarter. Looking ahead, we are investing for the long term and see a very large opportunity in front of us. You should expect us to continue making significant investments in our product development and global market expansion to maximize our long-term growth opportunities. With that let's begin the Q&A process.
Operator: (Operator Instructions) Your first question comes from the line of Heather Bellini with Goldman Sachs.
Heather Bellini - Goldman Sachs: Hi, great. Thank you very much for taking the question. I actually had two. I was wondering given your -- you said over 80 financial customers now, can you give us a sense of the split between kind the public sector, education customers you have, so if you group that into one and then private sector customers, if you could give us a sense of the rest? And then also can you give us an update, Aneel, on how you see this offering ramping outside of the U.S. and for Fortune 500 type customers?
Aneel Bhusri : So on the first one; we are not going to break it up by industry at this time, but I would say that a high level, more than half are commercial customers, although there is a decent chunk out of public sector. Some of the bigger ones are actually out of the public sector segment. In terms of the product line ramping, we were very pleased with the data points that we shared in the earnings release. The two go-lives, Netflix and LifeTime Fitness, using all of our financial products, those are two large companies that are proof points not just of us being able to sell it, but most importantly to get the customers up and running and have them being happy running Workday Financials. And then the two recent wins, Cushman and Wakefield and Nationstar, these are much larger on average than the kinds of companies we were selling to even just a year ago in financials. So, it's much like that, in March we talked about really when we went public about every quarter, every update going after bigger and bigger customers. To your second question, I think as we go into fiscal year 2016, you'll see a stronger presence of salespeople in Europe selling Workday Financials. We're just beginning to really start ramping up that part of it, and we'll not surprisingly start with some of the commonwealth countries like the UK and Australia, where the requirements are not that different from US GAAP and then move on to the continent shortly thereafter.
Operator: Your next question comes from the line of Jennifer Lowe with Morgan Stanley.
Jennifer Lowe - Morgan Stanley: Great, thank you. I had two questions as well. May be first following up on Heather's question a little bit. You noted that some of these financial deals can get quite large. I was curious on what the trend has been on average deal sizes, particularly as your portfolio products expand with things like recruiting and then maybe related to it, Mark, you mentioned that the retention rate on renewals in the quarter was very high on a logo basis but just curious if there is any added color there in terms of your ability to up sell or drive pricing increases or anything like that on renewal as well. Thank you.
Aneel Bhusri : Yes, thanks, Jennifer. On average deal size, there really isn't a trend on average size, because we are covering the entire gamut. As I mentioned in the prepared remarks, we had some very large contracts signed and new customers during the quarter. But we also have a very strong mid-market business, and so the averages are a little bit deceiving. What we are seeing, however, is no erosion in price, and as a result we have little bit larger size transaction because we are selling more products into it.
Jennifer Lowe - Morgan Stanley: And also is there any color on renewals?
Mark Peek : On renewals, well, so stepping back a second, the renewals that we are seeing now are largely customers that have -- Workday customers from early on, so they have been with us three or four years. And so, the overall size from the perspective of expansions, we are seeing some expansions as our customers are successful and they are growing their headcount. The size of the renewal transaction also grows, however, those customers were not subject to -- we call the innovation index which is in addition to CPI on contracts taking into account the fact that we are producing ongoing value throughout the term of the contract, so moving forward we expect the renewal size to be larger than the original contract size.
Operator: Your next question comes from the line of Brent Thill with UBS.
Brent Thill - UBS: Thanks. Mark, just to clarify the billings’ out-performance in Q1, you had mentioned several large new customers I think were pulled forward from Q2. Did you see any deals that were kind of booked in Q4 that you may have invoiced in Q1 that led to that? I am curious if there is any more color because the magnitude of the out-performance is obviously fairly large relative to the original goal?
Aneel Bhusri : Yes, Brent, I think there are always several factors that impact billings. I think the way that we are looking at it and the reason that we provided, a bit more color even in the press release on the results for the first quarter, so we are thinking about it as a first half performance and not with a fine line on billing right at quarter end. We built the pipeline for the year which included some very significant customers and some of those were pulled forward into the first quarter. As far as Q4 versus Q1, that was a fairly clean cut off, and so there really wasn't a difference between what ended up on the balance sheet as well.
Brent Thill - UBS: Okay. And just a quick follow for Aneel. When you look at the financials ramp, and when you look at the partner base that's trending to come up to speed to kind of help you in the field, can you give us a sense of what you are seeing some of the larger SIs, extending the practice beyond HR into financials and where that stands today?
Aneel Bhusri : At this point, every one of the major SIs are making investment -- is making investment in their financials practice to work side by side with their HR practice. In the public sector, that's been a fact of life really since they get go, since public sector is the first industry in financial product, so that area is already quite significantly ramped on the partner side. But I think we shared this in a previous call. Our goal right now is for Workday to be the driving force for about half of the financials implementations until we feel like the product -- is at a place where we really can't roll it out to the broader community, and I would say it is getting close, but we just want to guarantee the success of the first wave of large company implementations, and so we're staying very close to those right now but the demand is clearly there.
Operator: Our next question comes from the line of Mark Murphy with Piper Jaffray.
Mark Murphy - Piper Jaffray: Thank you. Curious if you would expect the volume of new deals this fiscal year to grow on par with the billings growth guidance of about 50%. Another word if you book roughly 200 new customers last fiscal year, would you expect to book roughly 300 new customers this year. And I realize the math could be quite a bit more complicated than that but just trying to separate out your expectations were volume growth from the ASP growth in that equation. And secondarily, I was wondering if you could estimate the attach rate for Workday Payroll for the new customers that you have been signing recently, is something in the neighborhood of 75%, a decent guess?
Mark Peek : Yes, Mark, as you pointed out that there are lot of complications and permutation that go to the billings number and trying to just measure it purely against the number -- the customer count we have including obviously the size of the customer and the fact that we are signing some of the very largest companies in the world and at the same time signing companies where we will have three year contract value that will be less than a $1 million and so it's not necessarily how we think about it from quarter-to-quarter pipeline generation. We are not locked into a goal that is the number of customers that we have. We certainly pay attention to it and certainly part of our TAM but it is really part of the quarter-to-quarter measurement that we have.
Mark Murphy - Piper Jaffray: And then question on the payroll attach rate.
Mark Peek : We don't give specific numbers on attach but payroll has been -- payroll as well as time tracking has been growing as a percentage of HCM each quarter.
Operator: The next question comes from the line of Karl Keirstead with Deutsche Bank.
Karl Keirstead - Deutsche Bank. : Hi. I think for Aneel and one for Mark. Aneel, Oracle is talking a little bit more with analysts about success traction they are getting with Oracle HCM and I am just wondering are you seeing that and if your mix of replacements has shifted at all to or from Oracle this past quarter? And then for Mark, I am just curious, congratulation on the HP, Philips, go -live, I am just curious if there was any unusual level of invoicing associated with those two clients that may have coincided with their go-live dates. Thank you.
Mark Peek : Let me -- I can take that one first and then handed over to Aneel. The short answer on that is no. And generally the way that our contracts work is -- when the contract is signed we do the first billing when the first tenant is made available which is typically within a week and that's when the revenue recognition starts. And so certainly from the subscription revenue perspective there is no time to successful deployment of assessment.
Aneel Bhusri : And honestly I just -- I can't really point to any trend in the change competitive dynamics over the last -- really over the last couple of years. In one given quarter SAP might be stronger, another given quarter Oracle might be stronger and it is about the individual deals but I think both companies are pretty far behind from a product perspective in terms of having a full speed of HCM and now increasingly financial products in the cloud and built natively for the cloud. So I didn't notice anything different this past quarter.
Operator: Your next question comes from the line of Steve Koenig with Wedbush Securities.
Steve Koenig - Wedbush Securities. : Hi, gentlemen, thanks for taking my question. I'd love to see if we can get more color on the billings on the large customers that you referenced. So we know it is not -- now the two large deals that went live but can you give some more color on how many deals are we talking about and or the size of the deals and were they at the closing states of the pipeline and did they detract from your pipeline for next quarter or could we see a pull forward next quarter as well?
Mark Peek : Well, if you look at the sequential annual guidance that we provided on billings, we took the bottom end and the top end of the range up by $40 million and so the way that I think about it is that we had better success in Q1, that success was somewhat reflected in the overall revenue and billings guidance that we provided. But we are thinking about it in more in terms of how the first half is playing out and so the guide for Q2 for example is $180 million and that's a little different seasonality than we laid out for you last quarter. And so just thinking about in those terms there was some expansion of our guidance from expansion of the pipeline but the result we got in this quarter was just bit unusual and so think about it more in terms of how the first half is going to perform with these results and the guidance that we provided.
Steve Koenig - Wedbush Securities: And can you just elaborate Mark, any comments that you can provide on kind of -- are we talking enhanced forward deals or ten deals and size of those deals?
Mark Peek : It was really just handful of larger transaction both in commercial and E&G.
Operator: The next question comes from the line of Walter Pritchard with Citigroup.
Walter Pritchard - Citigroup : Hi, thanks. Aneel, I was wondering if could talk about in HR space, you had success around in your core app with some adjacent products like recruiting, payroll and even performance management which is included -- I was wondering if you could comment on the attach rate of accruing and then relative to financials, how are you looking at surrounding financial with similar type products? Are you at the point yet there where you are thinking about that and does that help you to gain more of a foot hold in that market?
Aneel Bhusri : The case of recruiting is still early; the product just went into general availability in April. So far after it really was being two quarter on the price list. I think we are over 70 customers so obviously the attach rate with new customers is quite high. The attach rate for the installed base is really going to depend on their existing contracts with their current recruiting provider so I think we will know a lot more in 12 months. From a new customer perspective it is very high and it expected to be somewhere to where payroll is. On the financial side, we already do have the -- we already do have those kinds of products, we have it in the form of expenses and we have it in the form of procurement. Not all customers take the full suite including expense and procurement and in particular procurement's been a more focused investment areas over the last couple updates for Workday. We sense weakness in the installed base around Ariba not for manufacturing application but for broader non manufacturing applications. So that's a target when we go and replace financials to also look at procurement and expenses.
Walter Pritchard - Citigroup : Great, thanks.
Aneel Bhusri : I would say that the big unknown for financial would be the big data platform as we move the big data platform into the Workday datacenter, we've got quite a few customers that are excited about it and we will see what the attach rate is for that tied to financials. I think that might be one of the exciting net new adds to the financial product line.
Operator: Your next question comes from the line of Brendan Barnicle with Pacific Crest Securities.
Brendan Barnicle - Pacific Crest Securities : Thanks so much. And quick one for Aneel and then one for Mark as well. Aneel, now that you got recruiting out -- in the past you talked a little bit about kind of moving into some vertical strategies, you are looking at some vertical market and then also moving a little more into some of the training pieces. Do you shift your focus, now to those areas or is there still more work to do on the new releases? And the Mark on the CapEx, should we expect that to just continue literally through the remaining three quarters of the year to get that $100 million?
Aneel Bhusri : So on the first piece, we are in the second update of recruiting, and right now we are working on that which comes out in the second half of this year. We've got a quite bit of work to make it on par with some of the legacy systems. It is a disruptive product in terms of a new of wave of thinking about recruiting but the basic idea is to do-- is not to start something new until we finished the thought on what's existing. So we've got recruiting that we are still building out. We are moving aggressively into new international markets which mean new payroll investment, new HR functionality across the board. So there are still quite a bit to do before we look at new applications and potentially training or learning but those are very much on our longer -term roadmap.
Mark Peek : And Brendan on CapEx, guided to a total of $109 million or $110 million this last quarter, I think the best way to think about it is just linearly, as I also mentioned in the prepared remarks, we are going to the process as to what we are going to do with our facilities here in Pleasanton. At this point that CapEx guidance does not include any major building construction and should that come about will certainly let you know.
Aneel Bhusri : And I guess coming back to the other part of question Brendan on industry, where industry is showing a more pronounced effect is in the financial product line. Public sector was the first push; we are building professional service automation for the professional services and business services companies, average daily balance for banks, longer-term inventory for hospitals so it is more likely you will see industry specific capabilities emerge on the financial side than on the HR side.
Operator: Your next question comes from the line of Steve Ashley with Robert W. Baird
Steve Ashley - Robert W. Baird & Company, Inc: Great. I would just like to go back to the increasing guidance for full-year billings up $40 million at both the low and high end of the range. How much was recruiting being perhaps stronger than you expected, what role if any did it play in that $40 million increase?
Aneel Bhusri : Well, the recruiting is certainly a part of it but the lion share is really just coming from the core HCM and from financials and frankly when you provide guidance at the beginning of the year in enterprise software and you don't have the clear visibility into the back half of the year and as you move forward it gets a little bit tighter. And so we went through the first quarter we are able to assess the dynamics of the pipeline have quotas distributed and regions we assigned, we have better visibility on the overall pipeline which affects those revenues in billing.
Steve Ashley - Robert W. Baird & Company, Inc: And then just a quick follow-up, on the financials you called out two nice new customers wins, large, Cushman and Wakefield and Nationstar. Would they rank among the top five or Top 10 in terms of size of your customers within the total FM customer base?
Aneel Bhusri : Definitely not the top five, they might be in the Top 10
Mark Peek : They represent in commercial space of the larger size.
Aneel Bhusri : Operator, we are going to take two more questions please.
Operator: Certainly. The next question comes from the line of Brian Schwartz with Oppenheimer
Brian Schwartz - Oppenheimer & Co.: Yes, hi, thanks for taking my questions here this afternoon. Aneel, I think you Guys Company put out a press release in the quarter about a win with the University of Texas. I'm making the assumption that that was for Workday students. We've been hearing a lot of noise from new IPOs in the higher education space and private companies making some noise also. Wondering if you can provide us an update on the vertical solution in the education space, and how you view that solution, how it differentiates you in the market.
Aneel Bhusri : The product is still ways away from general availability but we've had a quite a bit of success attracting only development partners. And the best way to think about is that for university, the student system is the core operational app and so if you can replace the core operational app, HR and finance get pulled along with it much like in a manufacturing company you might see financial get pulled along with manufacturing, that's the student system is that -- is that their core operational system for university, so what we have seen as a result is that when a company chooses our student system they tend to buy the full suite and consider all in platform deal. The opportunity in the student system world is that the market seen very little innovation. PeopleSoft had good product but not really much has been done with it for many years. And then the other two players of the former banner product line from SAP that's part of the roll up and Datatel and neither has made a push into the cloud. So it is kind of an attractive competitive landscape and in the time when the universities are trying to deliver better experiences to their students at a lower cost and we are able to really address both the student system is built with consumer internet look and feel that is very attractive to today's generation of students. And we can definitely reduce the operating cost for the university with the cloud model so all and all I think it is a model for what we'll do in other industries going forward.
Brian Schwartz - Oppenheimer & Co.: Thank you, Aneel. And then the one follow-up I had was really on Identified. When we did our checks here at the end of the quarter, a lot of the consultants and partners that we spoke to, they were very excited about Identified social sourcing and the data analytics capabilities and some of us were telling us that it's all patent protected too. I'm wondering if you can walk us through what is happening under the radar over there with Identified, and maybe comment how you see it differentiating your platform in the market. Thanks.
Aneel Bhusri : We will be ready to give -- to show more about what we are doing with Identified probably within the next three months may be at the next earnings update, at a high level they have some very interesting technology built from machine learning around massive amounts of data and normalizing the data and we are basically taking that technology and in many cases rewriting into the Workday platform or just taking as is and plugging it into the Workday platform and bringing that machine learning capability productivity analytics to Workday. The real asset that we got with Identified was a group of really brilliant data scientist that are very complimentary to application development skill so we have at Workday, they are basically looking at all the data we created and coming up with ways that enable our systems to be more productive for our customers. So we will showcase more on that in the upcoming months.
Operator: Your final question comes from Derrick Wood with Susquehanna.
Derrick Wood - Susquehanna Financial Group: Great. Thanks. Two questions. First, Aneel, with the new Workday 22 release I know recruiting was obviously one of the most significant new developments. But can you share what you think is incremental on the financial side? And then for Mark, I know you had a lot of beta customers on the recruiting product, and then it looks like it went GA at the end of the quarter. Did that then show up as recognized billings from those beta customers? And if so, could you quantify that? Thanks.
Aneel Bhusri : On the financial side it was really across the board in terms of new areas more global functionality as we keep shipping away and building replacement with legacy systems on a global perspective. A really nice set of integration on T&E side so that any travel provider can be plugged right into Workday from -- both from tracking of expenses and reporting perspective as well and ease of generating expense report. We also came with the unified customer view from a financial perspective to give users something highly requested item was to get a centralized view of a customer from a financial perspective where they could see everything in terms of collections, billings, future revenue, all those things that might -- that you might expect out of a financial system all in one place. Tighter integration into our analytic so really across the board. And procurement is increasing area of investment too. As I mentioned earlier too, to close the gap of some of the existing procurement legacy, procurement systems.
Mark Peek : And on recruiting, no impact on billing, modest-- just really minor impact on subscription revenue that we had already factored into guidance, we started rev rec when it GA which was towards the end of the quarter.
Mike Haase: Okay, everyone. That concludes the call. Thank you.
Operator: We thank you for your participation in today's earnings call. You may now disconnect. And have a great day.